Operator: Welcome to the Uranium Resources' First Quarter 2017 Financial Results and Business Update Conference Call. As a reminder, all participants are in listen-only-mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Chris Jones, President and CEO. Please go ahead.
Christopher Jones: Thank you. And welcome everyone to Uranium Resources' first quarter 2017 financial results and business update conference call. I'm Chris Jones, Chief Executive Officer for Uranium Resources. You'll find our company listed as URRE on the NASDAQ and as URI on the ASX. This call is being webcast on our website at www.uraniumresources.com where we have posted slides to accompany our remarks. Telephonic replay of the call will be available from our website for three weeks followings today's call. We will be discussing some forward-looking information today and we caution our audience that such statements involve risk and uncertainties that could actual results to differ materially from our projections. Please review our cautionary statements and notes about foreign reserves on Slide 2 to 4. In addition, there are risk factors including some that are specific to our industry, described in our latest annual and quarterly financial reports filed with the U.S. SEC and the ASX. We have a brief presentation before the question-and-answer portion of today's call. Jeff Vigil, Chief Financial Officer and Vice President of Finance, joins me on the call today. Let's turn to Slide 5, yesterday evening we filed our financial results on Form 10-Q for the first quarter of fiscal year 2017 and reported profits for the quarter and an improved balance sheet. Jeff will address the specific results in a few moment but first I would like to provide a general business update. Since the second half of 2016, we have enhanced the investment thesis for our shareholders and investors by expanding our energy metals focus to the robust lithium industry, specifically through our staking and acquisition of two highly perspective lithium brine projects in Nevada and Utah. At the same time we continue to retain optionality to the future uranium price recovery with our portfolio of low cost uranium projects led by our near-term low cost Temrezli Project in Turkey. We are especially proud that in February 2017, our company become debt-free and funded well into the first quarter of 2018. After repayment of an $8 million convertible debt facility in December and February, our current cash position is strong at approximately $8.2 million. More importantly, we show a profit of over $1.8 million for the quarter with earnings per share of $0.09; and even while improving, expanding and diversifying the business, we continue to reduce expenses. For instance, G&A expenditures were lower by 22% compared to Q1 2016. We remain active on the M&A front. In January we post our property sale will clear mine resources for Laramide Resources for $12.5 million in total compensation including cash, Laramide stock and warrant, a royalty and options on two uranium development properties. In March we expanded our land position and our lithium project in Nevada known as Columbus Basin. We continue to be opportunistic in evaluating value, creating business prospect and optimizing our portfolio of assets. This can include further monetization of non-core assets. In the meantime, we budgeted $1.6 million in our lithium exploration and drilling program through the remainder of 2017. [Indiscernible] for continued news flow from our exploration activities as we drive towards our objective of delivering an initial JORC-compliant lithium resource on one project in the first half of 2018. As an exploration and development company, we will require additional financing for 2018 and complete the necessary resource modeling work for a JORC-complaint resource. Today our company is standing tall on two pillars of the energy metals business, lithium and uranium. As a result, we are well positioned to take advantage of both short-term and long-term price increases in those two markets. Now, I'll turn the presentation over to Jeff to review our capital structure and financial summary. Jeff?
Jeff Vigil: Thanks, Chris, good day to everyone. We'll take a look at our capital structure on Slide 6. At the recent share price of $1.63 and with approximately 24.5 million shares outstanding, our market capitalization stands at $39.9 million. During the first quarter, our stock performance remained steady and strong. Our share price is up from $1.37 at December 31, and our daily trading liquidity or volume for the trailing three months of average over 1.2 million shares per day. Our cash position at May 5, 2017 was approximately $8.2 million and importantly, we have zero long-term debt which I'll discuss further on the next slide. Now turning to the Q1 financial summary on Slide 7; we want to highlight the improved financial condition of URI. At March 31 we have a much improved balance sheet. Our current cash balance was approximately $8.2 million as expected to fund our business activities into the first quarter of 2018. Most importantly, our working capital is now positive at over $11.4 million versus a debt set up $4.2 million at December 31, 2016. This is a significant turnaround. We retired the $8 million convertible note due to our major shareholder resource capital funds or RCF in two steps. In December 2016, we entered into an exchange agreement with the Esousa Holdings of New York City whereby Esousa purchased 2.5 million of convertible notes from RCF and then we exchanged 2.5 million shares of URRE common stock to retire the convertible note held by Esousa. Due to second step on February 9, 2017, after we elected not to convene a special shareholders meeting scheduled for February 8, 2017, where we were seeking approval of the remainder of the debt exchange with Esousa, we terminated the exchange agreement and our Board of Directors unanimously need to repay the remaining $5.5 million loan to RCF from our treasury. The retirement of the loan will result in interest expense savings of $800,000 per year. Incidentally that is half of our budget of lithium exploration and drilling program for 2017. Net cash used in operations was approximately $3.3 million in Q1 2017 compared with approximately $2.2 million in Q1 2016. This increase in cash used for operations was primarily related to a reduction in accounts payable of nearly 1.6 million at March 31, 2017 compared to March 31, 2016. During Q1, we continued to pay down our line item expenses. As a result of this focus, our G&A expenses for Q1 2017 were 22% lower than the equivalent quarter in 2016 due to reductions in legal, professional and consulting expenses and our mineral property expenses were slightly higher by 5%. Finally, our net income for the quarter was approximately $1.8 million versus the last of approximately $4.2 million in the first quarter of 2016. Primary difference between the periods was recorded of a one-time gain of approximately $4.3 million from the sale of the Churchrock and Crownpoint properties to Laramide Resources during Q1 2017. And with that I'll turn it back to you Chris.
Christopher Jones: Thanks Jeff. Shown on Slide 8, our energy metal strategy takes full advantage of both the short and long-term market fundamentals for lithium and uranium. But first, why lithium. This growth story revolves around lithium ion batteries. ERU International estimates the global lithium demand shown as lithium carbonate equivalent, but why is it an average of over 6% per year to 2025. This growth is driven by rapidly increasing demand for transportation batteries which currently account for 35% of demand and are expected to expand to over 60% of total demand by 2025. While many of the headlines go to Tesla for this growth, battery makers all over the world such as BYD, Panasonic and others need lithium to service larger markets as well. Lithium market commentators site that present supply is dominated by five major companies worldwide controlling 90% of current production are inadequate to serve this demand growth. There is also the China factor; mid-year report site that China has exceeded the United States in electric vehicle sales in 2016. China has committed to a target of 3 million electric cars on the road by 2025 with green car subsidies for the transportation sector. China's entire line of lithium battery production reportedly tripled in terms of gigawatt hours in 2015 over 2014. Our strategy is to capitalize on our existing base of expertise and developing old pass lithium brine deposits. And mining and processing cost of lithium from brines are in the lowest cash cost quartile ranging from $2,500 to $3,000 per metric ton. Lithium carbonate prices were in the $12,000 to $14,000 range in the past year. The other pillar of our energy metal strategy is uranium, continuing growth in number of nuclear power plants worldwide from approximately 408 operating profits units now to a projected 631 by 2030 is not being serviced by new supplies; in fact, quite the opposite. Cutbacks in Kazakhstan at Camacho [ph] in the U.S. and Canada and reduced sales by the U.S. Department of Energy resigns that the market may come into balance over the short-term. And experts forecast was supply shortfall in the intermediate term. URI will be able to capitalize on the anticipated coming horizon price with our robust property mix in Turkey, Texas and New Mexico, especially and including our low cost Temrezli project. Let's take a closer look at our lithium projects; Slide 9 shows our Columbus Basin project which is located 27 miles from Albemarle's Corporation's Clayton Valley Silver Peak operations in Nevada, the only U.S. lithium brine producer. To our transaction to acquire additional claims in March, we've expanded our land holdings to over 14,000 acres, surface sampling as indicated the presence of lithium. And our recently physical survey results have found that the basin in deeper than we initially thought with hyper sealing brines near the surface. Drilling is set to commence in July of this year. Slide 10 shows the Sal Rica project which is located in the lithium-enriched brines in the Pilot Valley of Northwestern Utah. Since acquiring the project in September 2016, we have expanded the project through additional staking and we now hold over 13,000 acres. Results from a shallow drilling program in 1996 demonstrated widespread presence of concentration to lithium and brines associated with near service aquifers. Initial sampling of sediments by our personnel yielded lithium values ranging from 82 to 213 parts per million. We expect to follow up with the geochemical grid sampling program in 2017 designed to identify targets for drilling next year. On Slide 11 we review our Temrezli project. With one of the lowest operating cost profiles of any uranium project in development, it represents a great option for investors on the coming price rise. At this time, everything remains in process and with low holding cost we're able to ensure its future as a great project and a favorable jurisdiction. On Slide 12 we present the unique investment opportunity, i.e. uranium resources. We've expanded leverage to green energy metals in lithium and uranium. We complement our exposure to the robust lithium sector by advancing the Columbus Basin and Sal Rica lithium brine projects with maintaining our optionality on the future price in uranium prices with our low cost Temrezli project, our licensed processing plants in Texas and our extensive uranium mineral base. Our company is debt free and our working capital and business plans including a $1.6 million lithium exploration and drilling program are funded into the first quarter of 2018. So our opportunistic M&A efforts to continue lay optimize our portfolio of assets, we have brought forward lithium production and time and monetize non-core assets. You can expect continued news flow on our lithium exploration progress and other business updates through 2017. Our energies are focused on delivering an initial JORC-compliant resource on one of the lithium projects in the first half of 2018. We are creating long-term value and building an energy metals company with a bright future. And with that operator, we can open the question-and-answer period.
Operator: Thank you. [Operator Instructions] The first question today comes from Joseph Reagor with ROTH Capital Partners. Please go ahead.
Joseph Reagor: Good morning, Chris and the rest of the team. Thanks for taking the questions. I guess the first thing regarding the Nevada based lithium assets, there has been a lot of news around Albemarle try to I guess essentially protect its investment. Can you add some color as far as your location, if you guys are part of the target group for them to try to block order rights and how your voter [ph] rights are winding up?
Christopher Jones: Sure Joe, and thanks for the question. With regard to Albemarle, they operate in the Clayton Valley; and the rates in the Clayton Valley are already allocated. So for those people that are attempting to operate in that same location, that maybe a problem for them but we've yet to see. We're about 25 miles away in another basin and have applied for water rights; so the way to think about is there is so much water in the basin and you can allocate so much to each kind of a project; ours is a run allocated at this point so we've made application to the state to go ahead and do that where Albemarle and others have been working with the Nevada State legislature to change the permitting for exploration activities. You know, that could present a problem for some other of the organizations, in our case not so much.
Joseph Reagor: Okay, that's good to hear. And then think about the whole company; you're kind of leaning towards being a lithium company. You know, but you guys plus seem to trade a bit with the uranium price. I know a lot of companies in a situation like that would consider strategic name changes. Any conversation come up between you guys and the board on a topic like that?
Christopher Jones: We really can't comment on any perspective name change but as we've expanded this business to include energy metals, you're right, uranium resources might be a little bit of a narrow name for us to work with. By the same token, you know, we've been listed on the NASDAQ for 40 [ph] years and it's no small task.
Joseph Reagor: Okay, fair enough. And then one final one, on the cost front; could you guys give us a little bit more detail what other initiatives you guys have to reduce G&A costs and what a good assumption would be at the G&A line going forward?
Christopher Jones: Well, as you all know Joe, you've covered us for quite a while. We kind of overall spend from - call it $37 million a year down to something on the order of $11 million or $11.5 million. And what we've done to do that is everything. We've cut our managed cost down on a structural basis in every single piece of our business from land cost, to legal, to basic G&A, to what have you; and without any specific initiatives around specific cost reductions, know that - as Jeff related earlier in his part of the presentation, you know, year-on-year we cut $800,000 alone in interest payments. And you should expect to see that kind of activity going on, we've been in a business where business is like this for quite a while and cost reduction as a process and you should count on us to do more of that.
Joseph Reagor: That's good to hear. I'll turn it over. Thank you.
Operator: [Operator Instructions] There are no more questions at this time. This concludes the question-and-answer session. I would now like to turn the conference back over to Chris Jones for any closing remarks.
Christopher Jones: Thanks a lot operator. Ladies and gentlemen, we want to thank you for allowing us to provide you with an update on Uranium Resources. Have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.